Operator: Thank you for standing by and welcome to the Harley-Davidson 2023 Fourth Quarter Investor and Analyst Conference Call. Please be advised that today's conference is being recorded. I would now like to turn the call -- I would now like to turn the call over to Shawn Collins. Mr. Collins, please go ahead.
Shawn Collins: Thank you. Good morning. This is Shawn Collins, the Director of Investor Relations at Harley-Davidson. Today you can access the slides supporting the call on the internet at the Harley-Davidson Investor Relations website. As you might expect our comments will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include among others, matters we have noted in today's earnings release and in our latest filings with the SEC. With that, joining me this morning for the first part of the call are Harley-Davidson Chief Executive Officer, Jochen Zeitz; also Chief Financial Officer, Jonathan Root and LiveWire Chief Executive Officer, Karim Donnez. In addition for the Q&A portion of today's call Harley-Davidson, Chief Commercial Officer, Edel O’Sullivan will be joining us. With that let me turn it over to our CEO, Jochen Zeitz. Jochen?
Jochen Zeitz: Thank you, Shawn. Good morning everyone. Thank you for joining today's call. In 2023 the third year of our hardwired strategy we made progress in some key elements of our strategic plan. Despite premium discretionary products being significantly impacted by the continued high interest rate environment and consumer confidence and affordability concerns, we continue to emphasize our core products and markets and invested in key priorities for the future. We expect that focusing on our most profitable categories and geographies, emphasizing innovation and evolving the customer experience with our dealers would continue to yield benefits to the business and have set us up for long-term value creation. As seen by our meaningful per unit profitability increase of $2,400 dollars per unit or a 185% since 2019. Looking at retail performance for Q4, retail can be better than expected but down 11% versus prior year. It is of note that we retailed more than we wholesale globally even accounting for early release of 2024 units. This early shipping of 24 units for logistics purposes cleared the way for an aggressive shipment schedule of our new touring offering in Q1, which is needed to start the season in force with the new models. Through Q4 we continue to outperform the market with share gain in our core categories with touring reaching over 75% market share in the US and with large cruiser coming in at over 80%. Despite perceptions to the contrary, we continue to have a commanding leadership position in these core profit focus segments, well ahead of all our competitors taken together and demonstrated for a strong gross margin performance. Revenue was down slightly for the year as we navigated macro conditions impacting retails and work to manage dealer inventory and production challenges. Despite this our combined benefits of pricing and mixed inclusive of incentive spend yielded seven points of top-line growth leading to a 1% revenue decline driven by currency headwinds. We continue to maintain our focus on profitability with operating income margin of 13.6% in 2023 versus our starting profitability of 6.3% in 2019 on 34,000 less motorcycle unit sales and 6% revenue growth over the period. We believe this is the clearest proof point of our strategic orientation and execution in the current environment. This is a function of our multi-year pricing and mixed decisions across products and geographies with core products reaching 84% of our mix up from 78% in 2019 and a significant increase in average profitability per unit as mentioned earlier, but more on that from Jonathan later. I will briefly address the selection of our hardwired strategic pillars and our delivery of them last year starting with pillar one profit focus. We continue to prioritize mix with growth globally in our core units of Trike, CVO, touring and softail outpacing overall retail performance. Last year we also launched our new generation of road and street light CVOs. With this transformational product we are delivering on our hardwired promise of innovation as part of our focus on core categories, setting the stage for this year's Grand American Touring launch. Launching our icons and enthusiasts aligned to our profit focus, we've been building on our commitment to introduce motorcycles that align with our strategy to increase desirability by the legacy of Harley-Davidson and we also continued our efforts to increase awareness of the King of the Baggers racing series with Moto America, now tapping into the performance touring, our new product offering. Pillar two, selective expansion. We continue to make progress on our global partnership and our venture with Hero MotoCorp. There's a solid example of innovative participation models in geographies that matter as part of our selective expansion strategy. We've been very pleased to the exceptional reception to the venture with over 30,000 reservations to date. We will continue to look at select markets for small displacement offerings. Pillar three, lead in electric. LiveWire continue to pioneer the EV segment through the S2 platform with Del Mar as Karim will detail later. More than one year in our decision to focus LiveWire as a separate company in EV and focus Harley-Davidson on our traditional combustion segment is proving successful with clear focus on segmentation and execution for both brands while utilizing joint synergies. Pillar five; customer experience. With our dedication to enhancing the customer experience in line with our mission in addition to our fuel program, we continue to invest in transforming our omnichannel capabilities and the pre and post purchase journey for the customers. Additionally, we continue the evolution of our marketing approach specifically to drive dealership traffic and engagement and to improve alignment on key messages with our dealer channel as exemplified by our open houses, dealer sweepstakes and in-store rewards. We've made good progress on the execution of our distribution system modernization for the first milestones around product visibility and recommended orders coming online this year. With our online platform HD1 marketplace, we are now the leading marketplace for used Harley-Davidson in America and lastly, we're pleased with the progress of our rejuvenated membership offering with over 700,000 members on the new platform to date, growing membership that had been declining for years by over 300,000 new members in just seven months. We also successfully stood up homecoming as another core annual event to bring the brand closer to new and existing customers alike like no other brand can do in the motorcycle market. Turning to '24, I would like to comment on our new model year launch and outlook for the year. The Grand American Touring category was born out of the unique experience of the American highway and was invented by Harley-Davidson. Few products are as iconic and as connected to one specific brand. Put simply, touring is the heart of Harley-Davidson, our mission of timeless pursuit of adventure. Back in 2020, there was no plan for touring. We quickly took the decision to change that and it became the first and one of the most important priorities of our new hardwire plan. As you saw from our launch in January, we are now excited to share what we believe is the most comprehensive product development in the touring platform in well over 10 years. The street light and road light models form the core of the Harley-Davidson Grand American Touring motorcycle portfolio for '24 and represent the future of the segment. Both models featuring the new Milwaukee 8117 are more powerful, comfortable and lighter and packed with advanced technology including a new infotainment system all wrapped up in a dramatic new visual design that will redefine the Harley-Davidson Grand American Touring experience for years to come. This latest line-up is not only the most advanced we've ever produced, but also has the most customization potential that we've ever offered in touring. Additionally for '24 to celebrate the 25th anniversary of our custom vehicle operations or CVO, we added the CVO Road Light ST and CVO Pan America to the line-up, complementing our new road and street light CVOs first introduced during homecoming last year. Starting with the CVO Road Light ST, the lightest, fastest and most sophisticated performance Bagger ever produced by Harley-Davidson is taking hot rod Bagger performance to the next level while tapping into the performance trend that we fuelled with the King of the Baggers racing series. The CVO Road Light ST represents a unique collection of components providing high value of two-performance minded riders combined with West Coast custom style as seen in our Low Rider ST offering. We also expanded the CVO family beyond Grand American Touring for the first time to include the Pan America CVO, highlighting another touring segment that we continue to innovate in, Adventure Touring. We've prepared and are investing in the '24 model launch and have ensured that we're getting motorcycles out into the network at the right time for the riding season and although it's still early, having launched only two weeks ago, we've already seen a very positive initial reaction from the network, media, influencers and consumers alike with strong collaboration on awareness and traffic driving activities and as we look to the years ahead, we're excited about the potential of this line-up for the brand. We're fully focused on growing retails on the basis of these fantastic bikes, even in the current environment. That said, it is still early in the year and it is hard to predict the extent of the positive impact that our new touring models can have in the current high interest and overall industry market environment. As such, while we are very excited by the early read of our new model year launch, we're providing broader guidance than usual to our outlook, giving the continuing industry headwinds that affect our business. Furthermore, inventory management will continue to be a core part of our strategy to ensure that we have the right balance for both the network and customer. And as we look to the year ahead, we will manage inventory cautiously, recognizing that we believe we are close to the right levels in the network. Our goal will be to ensure that we manage wholesales based on retail potential so as to keep wholesales and retails in balance through a combination of retail levels and manufacturing adjustments, even as required.  To conclude, despite the challenges in the market, we believe that we've created the right product and solid foundations on which to deliver our future ambitions for the company. Thank you and now I'll hand it over to Karim to talk LiveWire. Karim, over to you.
Karim Donnez: Thank you, Jochen. Good morning, everyone. We are happy to report that after a strong fourth quarter, LiveWire delivered a 21% increase in LiveWire branded annual unit sales versus 2022. We finished the year with both units and operating loss in line with our revised guidance. Considering the ramp-up required for all new in-house developed products, we are pleased with the stabilizing supply base as well as the production of the F2 powertrain at Harley-Davidson's operations in Wisconsin and the assembly of the Del Mar in Pennsylvania. With a positive reception of the newly developed platform from the ground up from both early customers and the media, 2024 promises to be an exciting year for LiveWire. Our development team at both StaCyc and LiveWire continue to work to expand our portfolio and bring more options to more riders. We believe these new products, along with our entry into new segments, position LiveWire to increase our unit sales without increasing spend over 2023. To accelerate the path to profitability, we plan to drive down the cost of our products and continue to carefully manage cash, which is reflected in our guidance. Thank you. And now I'll hand it over to Jonathan.
Jonathan Root: Thank you, Karim, and good morning, everyone. I plan to start on Page 5 of the presentation where I will briefly summarize the financial results for the fourth quarter of 2023 and subsequently, I will go into further detail on each. At HDMC, in Q4, global wholesale motorcycle shipments decreased by 13% as we remain mindful of dealer inventory and market conditions. In Q4, HDMC revenue was down 14% due to lower volumes where improved mix was offset by pricing and incentive spend. In Q4 and in 2023, as Jochen said, we continue to prioritize our focus on core motorcycle mix of touring and cruiser motorcycles. We will cover further details of revenue when we turn to Page 8. Turning to our consolidated results in the fourth quarter, total consolidated HDI revenue of $1.1 billion was down 8% compared to this quarter last year. The breakdown was at HDMC, as I mentioned, revenue declined by 14%. At HDFS, revenue grew by 15% and at LiveWire, revenue grew from $9 million in the fourth quarter of 2022 to $15 million in the fourth quarter of 2023. Total consolidated HDI operating income with a loss of $21 million, which compares to operating income of $4 million in the Q4 prior year period. The breakdown for 2023 was at HDMC, operating income was a loss of $44 million, which is markedly lower than the profitable first three quarters of the year, where Q4 is a quarter with significantly fewer wholesale units compared to the remaining quarters in the year. Results were adversely impacted by lower wholesale volumes and higher incentive spend in the quarter. At HDFS, operating income of $58 million declined by 10% on a year-over-year basis and at LiveWire, an operating loss of $35 million was in line with expectations. Fourth quarter earnings per share was $0.18. Turning to full year 2023 results, total consolidated revenue of just over $5.8 billion was 1% higher compared to last year, while total operating income of $779 million was 14% lower than last year. Full year earnings per share was $4.87 in 2023 and compares to $4.96 in 2022. We will talk further about each business segment's specific profits and loss drivers in greater detail in the next section. In Q4, global retail sales of new motorcycles, as mentioned earlier, were down 11% versus the prior year. In North America, Q4 retail sales declined by 9%, driven by the continued impact of a high interest rate environment on consumer discretionary purchase decisions. In addition, the discontinuation of legacy Sportster bikes at the end of 2022 continued to have an adverse impact on non-core unit sales. In EMEA, Q4 retail sales declined by 22%, driven by weakness in France and Germany. Overall, EMEA continues to be adversely impacted by overall macro conditions and sluggish economic growth. In Asia-Pacific, Q4 retail sales declined by 10%, driven by weakness in Australia and New Zealand, partially offset by strength in Japan and Thailand. This is a marked improvement from what we covered last quarter. In Latin America, Q4 retail sales increased by 46%, driven by growth in both Brazil and Mexico. As the manufacturing environment continues to get back to a more normalized operation, product availability is much improved compared to the exceptionally tight levels of 2021 and 2022. As touched on earlier, dealer inventory at the end of Q4 was up approximately 50% from the end of Q4 in 2022. We believe current dealer inventory is in an appropriate position overall as we approach the spring '24 riding season and with the recent launch of new model year '24 motorcycles, especially our new street glide and road glide touring models. Looking at revenue, total HDMC revenue decreased 14% in Q4 and decreased by 1% for the full year. In Q4, HDMC revenue declined largely due to lower wholesale unit shift. Looking closer at the key drivers for Q4, 14 points of decline came from decreased volume at HDMC as we reacted to the current market conditions, supported prudent dealer inventory levels, and prepared for the 2024 model year launch of the street glide, road glide, new CBO models, and more. Seven points of decline came from pricing and incentive spend where given existing market conditions, we selectively promoted high margin products to support our customers in the higher rate environment that they are facing. In addition, we made the decision to implement incentives, which resulted in a reduction to revenue of approximately $40 million in Q4, which will support model year 2023 carryover motorcycles into calendar year 2024 as enhanced dealer support. We expect this will help drive retail performance in 2024. Mix contributed seven points of growth as we continue to prioritize our most profitable models and markets and finally, foreign exchange contributed one point in Q4. For the full year of 2023, HDMC revenue declined by 1% where the key drivers for the full year included seven points of decline, which came from decreased volume at HDMC driven by an overall decrease in wholesale motorcycle unit shipments, three points of increase, which came from pricing net of incentives through both global motorcycle MSRP increases and price increases across the parts and accessories and apparel businesses, and the aforementioned actions to help support retail in the 2024 calendar year for the remaining 2023 model year dealer inventory, mix, which contributed four points of growth as we continue to prioritize our most profitable models and markets and finally, foreign exchange, which resulted in one point of negative impact as the dollar strengthened for the full year. In Q4, typically our lowest growth margin quarter of the year, growth margin of 22.9% was down 360 basis points behind the impacts of lower volumes, pricing and incentive spend, which I covered in my earlier comments and manufacturing costs more than offsetting the benefits of shipment mix and lower raw material costs. Operating income margin fell by 210 basis points due to the factors above, in addition to operating expense favorability of 18% in the quarter. We continue to experience more moderate cost inflation relative to what we experienced in 2022. In Q4, cost inflation came in at a rate between 1% and 2%. For the full year 2023, HDMC growth margin came in at 32.3%, which was 110 basis points better than a year ago, despite lower volumes. Mix and pricing were positive for the year and were partially offset by lower volumes, supply chain and manufacturing costs, and foreign currency. For the full year 2023, HDMC operating margin came in at 13.6% and compared to 13.9% in full year 2022, which is approximately 20 basis points lower after accounting for rounding. The small decrease in operating margins was due to the factors just mentioned and largely due to higher operating expenses from earlier in the year. At Harley-Davidson Financial Services, in Q4, revenue increased by 15% driven by higher commercial finance receivables and higher interest income. HDFS operating income was $58 million down 10% compared to last year and an improvement to trends seen earlier in the year. The Q4 decline was driven by higher borrowing costs, a higher provision for credit losses, and higher operating expenses. These increased costs were partially offset by higher interest income. Total interest expense was up $22 million or 32% versus the prior year. The increase was driven by a higher cost of funds as lower interest rate debt matured and was replaced with current market rate debt. The provision for credit loss expense increased $6 million in the fourth quarter as a result of higher realized credit losses, partially offset by a favorable reserve change in absolute dollars. For the full year 2023, HDFS' annualized retail credit loss ratio came in at 3%, which compares to 2.7% through Q3 '23. These levels compared to an annualized loss of 1.9% in full year 2022. The increase in credit losses was driven by several factors relating to the current macroeconomic environment and the related customer and industry dynamics. In addition, the allowance rate for credit losses for Q4 remains flat at 5.4% from Q3, but up from 5.1% during fiscal 2022, as we prudently calculate our loan loss reserves in accordance with CECL methodology. Total retail loan originations in Q4 were down slightly by 1%, while commercial lending receivables were up 42% to $1.06 billion behind stronger product availability compared to the prior year. Total quarter end net financing receivables, including both retail loans and commercial lending receivables, were $7.5 billion, which was up 5% versus prior year. For the full year 2023, operating income at HDFS came in at $235 million, or down 26% relative to full year 2022, which compares to our financial guidance of down 20% to 25% for the year. Through the end of Q4, we raised approximately $2.5 billion in the capital markets for all of 2023. Cash and committed bank and conduit facilities resulted in an HDFS liquidity position of $2.2 billion as of yearend. This approach has put HDFS in a very strong position from both a funding and liquidity perspective. For the LiveWire segment, fourth quarter revenue increased from $9 million in the fourth quarter of '22 to $15 million in the fourth quarter of '23, due in part to higher unit sales of Del Mar electric motorcycles. As Karim mentioned, in Q3, LiveWire began shipping Del Mar, the first motorcycle, on their F2 platform, and they are pleased with the successful rollout in Q4 with 482 units shipped. LiveWire operating loss of $35 million in Q4 was in line with expectations and driven by planned development costs to advance EV systems and activities around Del Mar. For full year 2023, the operating loss of $117 million was in line with guidance, given the early stage nature of the business and the electric motorcycle market as a whole. Wrapping up with consolidated Harley-Davidson, Inc. full year financial result, we delivered $755 million of operating cash flow, which was up $207 million from the prior year. The increase in operating cash flow was due to positive working capital activity at HDMC, driven by a decrease in inventory in 2023 as compared to an increase in inventory in 2022. Total cash and cash equivalents ended at $1.5 billion, which was $100 million higher than at the end of 2022. This consolidated cash number includes $168 million from LiveWire. During the full year 2023, as part of our capital allocation strategy, we bought back 10.2 million shares of our stock at a value of $350 million. This was greater than the $324 million we repurchased in 2022, and these years combined amount to nearly $675 million worth of share buybacks in the last two years. This represents 12% of our shares outstanding. We have also paid out $189 million in dividends over the last two years. These combined actions both demonstrate the strong cash flow generated by Harley- Davidson, Inc., as well as the commitment we have to returning capital to shareholders. As we look to our financial outlook for 2024, as Jochen discussed, we are excited about our new 2024 motorcycle line-up, but we recognize that the overall macro environment, including high interest rates, add complexity to our customers' decisions to purchase discretionary products. At HDMC, we expect retail units to be flat to up 9%, which results in 163,000 to 178,000 retail units. Currently, we believe dealers are appropriately positioned from an inventory standpoint. Thus, we expect that retail units sold and wholesale unit shipments will move together on a balanced basis in 2024. This range would result in wholesale unit shipments to be down between 1% and 10% versus 2023, which equates to 163,000 to 178,000 wholesale units. This results in HDMC revenue coming in flat to down 9%. We expect HDMC operating income margin of 12.6% to 13.6% in 2024. This is flat to down 100 basis points from the 2023 level. The drivers of margin include negative operating leverage due to lower wholesale volumes, foreign currency, which is expected to be a headwind, mix, which is expected to be slightly favourable, pricing, which will be slightly down as we eliminated the surcharge and fine-tune our pricing strategy. Lastly, we expect some additional manufacturing costs as we realign factory processes in the initial year of production of the new street glide and road glide motorcycles. At HDFS, we expect HDFS operating income to be flat to up 5%. We expect the business to stabilize as it comes to higher interest rate environments that began in 2022 with our borrowing cost moderating based upon the anticipated Fed action. We also expect the retail and wholesale portfolios to come into balance and more in line with the higher rate environment as the retail portfolio resets, thus driving greater revenue and we expect consumers to settle into the existing macro backdrop and therefore we expect the loss rate will begin to moderate in the second half of as compared to the second half of 2023. At LiveWire, LiveWire is forecasting unit sales between 1,000 units and 1,500 units and an operating loss in the range of $115 million to $125 million. This is consistent with the 2023 guidance range while delivering between 50% and 125% more motorcycles. And lastly, for total HDI, we expect capital investments in the range of $225 million to $250 million. This is the same forecast as in 2023 where we plan to continue to invest behind product development and capability enhancement. Our investment focus remains driven by core product innovation, investments in manufacturing to automate and reduce costs as part of our productivity journey, as well as planned investment for LiveWire. One of our initiatives identified as part of the Hardwire strategy is driving productivity to eliminate the $400 million of incremental supply chain costs encouraged in 2020. In 2022, we delivered approximately $50 million towards that goal. In 2023, we delivered approximately $70 million additional towards that goal where we focused on reducing expedited costs among other actions. 2024 is expected to deliver approximately $100 million incremental cost productivity towards this goal with a focus on production efficiency, logistics network optimization, and supplier cost optimization through consolidation and regionalization. As we look at capital allocation in 2024, our priorities remain to fund the profitable growth of the Hardwire initiative, which includes the capital expenditures mentioned previously, paying dividends and continuing to execute discretionary share repurchases. As covered previously, in 2022 and 2023, we returned nearly $865 million in capital to our shareholders. In 2024, at this point in time, we are planning to buy back a similar dollar amount of our common shares as we did in 2023. And with that, we'll open it up to Q&A.
Operator: [Operator instructions] Our first question comes from the line of Craig Kennison with Baird. Your line is live.
Craig Kennison: Hey, good morning. Thanks for taking my question, and Jonathan, thanks for the additional commentary. That was very helpful. My question goes to dealer sentiment. It's a tough time to be a dealer. It's got skinny margin and high floor plan interest rates. You all have had success with project fuel in some cases, but that capital investment is a very big ask for dealers that are struggling with cash flow. So I'm just wondering, with the leadership change, like how might you reimagine your relationship with the dealer and other opportunities to partner with them in different ways?
Jonathan Root: Thank you, Craig. Well, as you said, we have to recognize that last year has been a tough year for dealers. The overall interest rate rise that affected the demand has certainly led to a much lower profitability. If you look at 2021-2022, we had record profitability in our network, which is -- was great, and at least it helps many of our dealers to buffer the decline that we had seen, but we obviously take that into consideration with all actions and decisions we take in terms of new product launch, in terms of pricing, in terms of fuel, and all the projects that we are putting into the network. That said, I would say the dealer sentiment overall has improved significantly, and that is very much a result of a new product launch, model year launch that excites the network and the dealers and as I had mentioned, that has already led to quite positive feedback from the media, from influencers, from customers that have come in early to buy the product. So, we are trying to find the right balance here of making sure that facilities are being upgraded, recognizing that many facilities have not been upgraded for 20 years, sometimes even 30 years and there's never a perfect time to do this, but we certainly take financial difficulties into consideration as much as we can when it comes to the fused facility or upgrade. Overall, we've completed 20 facilities so far. We expect about 75 to be completed by the end of 2025. We have over 100 dealerships in process across all levels of completion, from agreement to full build in North America alone. So, overall, you could say good success and please recognize that this program will be in place for over 10 years. So we don't expect all of this to happen. So some dealers are ready and want to go and they come certainly first in line. Some might have a tougher time to do that and we would take that into consideration and it's a 10-year program. So we expect dealer profitability should be improving and overall, the sentiment has improved. I think the model year launch certainly has helped and now we are all preparing and ready for the riding season.
Craig Kennison: Thank you.
Operator: Thanks for your question. Our next question comes from a line of Alex Perry with Bank of America. Your line is live.
Alex Perry: Hi, thanks for taking my question here. I just wanted to ask how we should be thinking about mix in '24. Do you expect to be heavier on touring and trike shipments this year and lower on sportsters? And how long do you expect the promo and sales and those headwinds that you saw in 4Q impacting the motorcycle gross margins? Thank you.
Jochen Zeitz: Well, we've adjusted our pricing according to our new model year launch. In particular, in touring, it's important to make sure that the carryover products that our dealers have in inventory are priced competitively to our new products, which is why we've taken the action that Jonathan laid out in his presentation. We feel good about what we have taken in terms of action so far and we just have to recognize that the consumer environment in our industry with discretionary premium product has been challenged due to the high interest rates and we've taken action accordingly. So we feel the right pricing at this point in time, but obviously, we will be flexible to adjust whatever is required in the current environment. In terms of mix, our priorities, as you know, and we have emphasized as part of the hardwire Stage 2 strategy, was to shift more towards the high value products from cruiser to trike to touring and the new product or the new model year launch, I think, is a clear indication of that. Sportster, we still had a decent amount of Sportsters in the network in 2023. We didn't ship any Sportsters until the end or after 2022. So those should anniversary themselves out of the network pretty quickly. But we feel that with the pricing that we have in our entry price point products, such as the Nightster and moving all the way up to our new touring models, we are competitively priced and have an exciting product offering market right now. But as I said, it's still early in the season. We'll have to see how things go. We want to make sure that the network can move through the 23s as quickly as possible because we want to reduce the inventory in the dealer network, which is why we've emphasized that and we've taken according actions and will continue to do so if necessary.
Alex Perry: Thank you. That's very helpful. Best of luck going forward.
Operator: Our next question is from the line of Fred Wightman with Wolfe Research. Your line is live.
Fred Wightman: Hey, guys, I just wanted to follow up on the dealer inventory commentary. I understand that you feel like you're in pretty good shape at this point in the year, but can you just talk about the mix of sort of current versus non-current products and how you see that unwinding in the face of the more meaningful touring refresh for this model year?
Edel O’Sullivan: Good morning. Thank you for your question. Yes, as you say, we have, we believe, largely the appropriate level of inventory in our network that is even accounting for some of the early release driven by the logistics considerations in Q1 as we ramped up the major product launch of our Street Glide and Road Glide and touring platform in general and that is also accounting for some delays in the arrival of the product in 2023, which we have referenced in our previous conversation. Exactly as you note, we believe that that inventory is important in Q1 to support retail. Obviously, as we ramp up, there is a period of time until we reach complete dealer fill. So the inventory of '23, which is the majority at this time of the inventory in the network, is appropriately used to support retail as we ramp up '24 and then exactly as you also note for us as we move through the early part of the season and more of those '24 come online, the priority for us and where we have directed our financial support, as Jonathan has mentioned, is in working down those levels of '23 and to create more and more room for '24. We think that '23 will serve as an interesting and entry price point also for customers that prefer some of the features of the older technology, so they have a role to play going forward and of course, in general, we are watching the levels of inventory. We think as we move through '24, we want to keep it roughly in a one-to-one balance, also accounting for floor plan costs in our dealerships. So overall, ensuring we keep a balance and that we work through those 2023s as more of the 2024s in such an important category for us as Grand American Touring come online.
Fred Wightman: Perfect, thank you.
Operator: Our next question comes to the line of Joe Altobello with Raymond James. Your line is live.
Joe Altobello: Thanks. Hey guys, good morning. So you did mention several HDMC margin puts and takes in 2024. I assume the negative operating leverage you're expecting is the biggest driver of that. So if you could quantify how much of a drag that is on margins this year and how much is the greater dealer support that you're expecting this year as well, which I guess is included in pricing?
Jonathan Root: Sure, thanks Joe. So I think as we take a look at what we saw for 2023, as we've talked about, we put programs in place that certainly were a bit of a drag on what we saw from an overall margin perspective. So obviously we called that out through the script and the details of that. So we have about $40 million that hit 2023 that really benefits us as we work through kind of clearing the retail in 2024 and so obviously as we look forward with some of the actions that we have in the marketplace to drive retail in 2024, we made sure that we kind of matched up the revenue associated with delivering those bikes in the marketplace to moving them in 2024. The other piece that I think is worth noting too is that as you take a look, I think Edel touched on this a little bit, but as you take a look at your -- as you take a look at where we are from a retail perspective, I think Edel covered that nicely too in terms of the model year mix and what's in dealer inventory today. So obviously more '23s are in the network today and then we're shipping '24s in as we go.
Joe Altobello: That's very helpful Jonathan. And let me just follow up on that in terms of promotions and discounts. How much elasticity did you see in retail once you started to increase the amount of retail spending?
Jonathan Root: Well, if you look at the fourth quarter in particular, we saw a nice positive retail increase in the month of December while and then sequential improvement from October, November through December and that is, I would say, partly correlated to the amount of promotions we had in the market. So we see a reaction in the market when we are putting these promotions in and the key will be to have the right mix between carryover and new products, which we try to accomplish and achieve as quickly as possible in already towards the end of January with a new model year launch, so that there's a good mix because not everyone is going to buy new. Some will buy used or carryover products. So I think the dealer network is certainly well stocked to fulfil any requests from our customers and we hope to move, as we said, through those '23 model year carryovers as quickly as possible and we have an aggressive shipping schedule for '24s. So very early in the year at this point in time, which is, as I mentioned earlier, why our guidance is much broader than it usually would be and the year started relatively modest for the industry as a whole, not just for us, but since we've shipped our new '24s we've seen a nice and significant improvement, which is testament to the new product and to our customers being excited about what we have to offer with the new model year.
Operator: Our next question is from the line of James Hardiman with Citigroup. Your line is live.
James Hardiman: Hey, good morning. Thanks for taking my question. So follow up on the guidance and Jonathan really appreciate that the added color on sort of the wholesale versus retail. I think you said for retail in '24 flats up 9%, maybe help us with the major drivers there. I know it's sometimes not very helpful to think about an industry number because you're such a big part of the industry in certain segments, but just trying to tease out the overall sort of how you're thinking about the demand backdrop relative to the benefit from what sounds like an unprecedented new product haul. And then maybe help us with some of the below the line items as well. Obviously, you don't guide to an EPS number, but tax and share count, maybe interest expense. I think we should be getting to an EPS number in the low to mid $4 range, but I don't know if that's quite right based on how you're thinking about the below the line. Thanks.
Jonathan Root: Okay, great. Thanks James. I'll start with sort of some of your questions on what we saw from below the line. It may be helpful for Jochen or Edel to provide a little bit of commentary in terms of their perspective on retail for 2024. I think if we just start with below the line, obviously we saw a lot of favorability in 2023 relative to some pension adjustments and things of that nature. So that's the primary driver in terms of what you see from that standpoint. Obviously, shareholders are benefiting from an EPS perspective with the focus that we have on share buybacks that we kind of walked through a little bit earlier today. So certainly for us –a pretty big consideration point I think for how we reward shareholders. Relative to retail as you said, the flat to up nine kind of equates to $163,000 to $178,000. Jochen, James as you reflect back, kind of touched a little bit on the fact that that is a wider range than what we normally see for a variety of reasons. But Jochen, do you want to comment any further on that?
Jochen Zeitz: Well not much to add to what I already indicated earlier. It's early in the year. We really need to get closer and into the writing season at this point in time. We believe we have an extraordinary product. Early reception is great, but the overall environment in terms of interest rate is certainly headwind which we, experienced very much throughout the entire year of '23 and we'll just have to see how it all works out and our retail guidance is a global guidance. It's not just the US or North America guidance. Touring, while we've been able to shift the mix in the international markets including profitability more towards our profit focus categories, it has the most significance in the North American market. So that requires the US market to pull a lot of weight when it comes to retail growth in '24 and we just have to see what's possible. Early indications right now with our new model year launch are positive, but it's way too early to really give more concrete guidance than what we've said.
James Hardiman: That's really helpful. If I could just sneak in a clarification, Jonathan, is there any way to just think about the tax rate and share count for 2024? Obviously, those could be some swing factors and just want to make sure everybody's on the same page.
Jonathan Root: Yep, no, great question and I think as we think about share count, obviously, we've talked through our commitment to looking at share buybacks consistent with what we looked at in 2023. So obviously that cadence will come down over time. So, from a share buyback perspective, we'd probably buy back throughout the quarters. Obviously not in one big block at time, but I think that's the piece that's worth factoring in is looking at share price movement, looking in the dollar target that we've set, and then just thinking through how that will impact across the year.
Jochen Zeitz: James, I've given Jonathan and the finance team the challenge to be able to give guidance on EPS as of next year. So mark your calendar and we'll hopefully be able to achieve that.
James Hardiman: Looking forward to it. Thanks, guys.
Operator: Our next question is from the line of Tristan Thomas Martin with BMO Capital Markets. Your line is live.
Tristan Thomas Martin: Good morning. I just wanted to kind of get your thoughts on the mild year '24 touring pricing. If I look at, for example, '24 street glide, it's more expensive than a base street glide for '23. But I think the features are much more comparable to, let's say, like a street glide special, where '23 is more expensive than '24. So just kind of wanted to get your thoughts on kind of some of these changes, the model consolidation, is this just an overall way to address affordability without just straight up lowering MSRPs or getting too promotional?
Jochen Zeitz: Well, we wanted to make sure that our new products are competitive and we believe that we've accomplished that for sure given the early reactions that we've seen in the market and as you rightly said, we included several key features and benefits that we previously had in our ST and special models in our mid-levels now and increased the price from the base level of our base models to reflect the additional content that now comes as a standard equipment. In addition, we are offering a lot of P&A packages that allow our customer to essentially get up to a product that is at ST and special pricing level and features level and that's what we've tried to achieve by reducing at this point overall complexity of our touring setup. So I think it's the best of all worlds that we're achieving with our new pricing. It's competitive, but it's still 24,999 and that's while higher than our base models, it's lower than our STs and special. And again, if you look at the pricing actions that we have taken in the fourth quarter and our carryover products, that needed to consider the new pricing for our new models. So STs and special needed to -- we needed to give support and continue to need to give dealer support to price them accordingly in order to move them out and sell them and I think that's essentially the key decision that we've made and so far it's proven very successful and the comments that you will see in online forums, people understand that there's a lot more key features and lot more benefits that we've previously had in our STs and special now already incorporated in our mid-levels.
Operator: Thanks for your question. Our next question comes from the line of Noah Zatzkin with KeyBanc. Your line is live.
Noah Zatzkin: Hi, thanks for taking my question. Maybe just one on LiveWire for me, looking out over the next several years, how are you thinking about the unit and profitability ramp there? And has anything changed in terms of your medium-term view for the business and the opportunity? Thanks.
Jochen Zeitz: Thank you, Noah. But I guess when we look at LiveWire right now, our focus is really about product innovation and cost improvement. We want to reach profitability as fast as we can. So we're in a strong position to capture the opportunity as the market develops. So right now we remain focused on our long-term vision of being the leader in a two-wheel EV industry driven again by innovation and performance in the short term, a strong internal plan to reach profitability as soon as possible.
Operator: Our next question is from the line of David MacGregor with Longbow Research. Your line is live.
David MacGregor: Yes, good morning. Thanks for taking my call, my questions. I guess I just wanted to follow up on the LiveWire discussion. Karim, could you dig a little bit deeper into kind of the experience this quarter, the consumer reaction to the ST Del Mar? You shipped 660 bikes in '23. Could you talk about kind of retail sales and how that may have grown through the year and you're talking about 126 dealers this year. What are you expecting to grow that to in 2024? Thank you.
Karim Donnez: Yeah, thanks for the question, follow-up question. Well, look at this stage, we feel pretty good about the Q4 shipments because we have more orders in hand that shipments done so far. So we feel pretty good about retail and the conversion in a short term. Now we absolutely working really hard on creating a retail engine and supporting our dealers, which is why you saw that we reached 126 retailers globally. Obviously, when you look at the number of bikes, it makes it for very attainable target for retailers to achieve at retail. So our goal is to essentially in 2024 match retail with wholesale. So the team is hard at work to deliver on making retail momentum sustained and to support wholesale.
David MacGregor: Thanks. Good luck with that.
Operator: Our next question comes from a line of Jaime Katz with Morningstar. Your line is live.
Jaime Katz: Hi, good morning. I want to focus in on market share, which actually improved quarter over quarter, but I'm wondering where you guys are trying to structurally drive that to over time? Or is it something that that may be, this 40% level is the new normal given the shift in consumer demand to other types of bikes? Would you help us think about that longer term? Thanks.
Jochen Zeitz: Thanks, Jamie. Well, our focus of this part of this strategy has been very clear, shifting the mix towards our core focus, our core categories, right? That's the tri cruiser touring and that that shift has proven extremely successful. We've mentioned earlier, our average unit profitability is up from 1300 to $3,700. So, not being obsessed by unit sales over the last few years served us well in terms of overall profitability, which is improved from 6.3% to 13.6%. So extraordinary improvement. That said, obviously, we want to grow our business to we believe that with our new model year '24, we have that opportunity, we have the right foundation, but we also need a more accommodating economic environment and when I say economic environment, then I'm talking about our industry and high interest rates that are a tough challenge for many of our core customers. So I don't want to evade you the answer to your question, but, our focus is on growth and profitable growth and that's how we will complete our hardwired stage two strategy at the end of '25. What comes after that, we will address at the appropriate time. We do look at market shares, but we're not obsessed by market shares. I've never been never will, but of course, it's pleasing to see that in this tough environment, especially in the fourth quarter, we were able to grow our touring share back to 75%, large cruiser 80%. That's commanding. Give or take 5%. That's always the swing that you're going to see throughout the year, also on a rolling 12 months forward, or backward and I think that's likely where we're going to be, but we believe there's an opportunity to take market share, especially in touring, and through our trike offering, because we have competitive and great product and that should see a positive development, certainly next year, if all our plans come to fruition and hopefully that will carry through in future years as well, at least until the end of our hardware stage two, which is at the end of '25. The touring platform, as I mentioned, has been in development since 2020 and it's the first refresh and in fact, it's not a refresh, it's a complete rebuild from the bottom up in every respect and I think the positive reactions give us that opportunity, but it's a little early to comment how lasting that is going to be, but we feel very good about it.
Operator: And we have a final question for today from the line of Brandon Rollé with D.A. Davidson. Your line is live.
Brandon Rollé: Thank you for squeezing into my question here. Just a question on your margin guidance, I think you had called out additional manufacturing costs as being a headwind to guidance this year, could you size up, the amount of headwind from those additional manufacturing costs and then provide any additional color on feedback you're receiving for the model year '24 line-up? Thank you.
Jonathan Root: Thank you, Brandon. We'll start with your -- we'll start with your sort of question on what we're seeing from a manufacturing perspective and some of the noise that we have within there. So obviously, we've put a $400 million price target out there from a productivity perspective. We walked through what we've seen over the last couple of years and where we envision 2024 landing. So, about $100 million of positivity that lands in 2024 to help offset what we see from an inflationary perspective. As you look at that movement over time, we obviously feel pretty positive about that. When you kind of talk through some of the headwind that we see, if we take a look at what this means from a margin perspective, obviously, depending upon where we fall from an overall volume perspective with our with our fairly wide range is we want to make sure that we are looking at moving our retail and wholesale in concert with each other. We obviously have a lot that we have to pay attention to from a structural cost and as you think through sort of a leverage or de-leverage impact and so I think from that standpoint, certainly a little bit of noise as we just try to work through what that could mean from an overall leverage or de-leverage impact. And then as we think about manufacturing optimization, supply chain efficiency, as Jochen talked about, this is a this is a transformative launch as you look at the significance of what we have with Street Glide and Road Glide that are that are now hitting our dealers. Obviously, as you have sort of a very, very major change that occurs all the way from your suppliers through to what we end up moving into our dealership. There's a lot of -- there's a lot of just a lot of change and a lot of variability that can occur with that. We feel like it's been a fairly smooth launch so far, but we certainly always want to make sure that we have are living in a world where we're not over promising to anyone and I think beyond that, Jochen and Edel, do you have questions on or I'm sorry, you have some comments relative to the '25 model year reception.
Jochen Zeitz: '24, I'm ahead of time of your time. '24. Well, look, I've not much more to add. Maybe overall, I would say this really positive reaction to our overall pricing strategy with when it comes to the carryover product and our new product. I think that the decisions we've taken the fourth quarter will help us in '24 and I think, unilaterally positive reactions to our new street guide road, lots of excitement about our new CVO ST. We've started the trend with performance and picked up on a trend that we saw years ago developing, especially on the West Coast, but in other parts of America as well and we've, as I mentioned in my speech, we've tried to push that hard with our King of the Beggars race series and our race bike. So really bring a performance aspect into our product is now shown with our CVO Road Glide ST. Fantastic product, very well priced and lots of excitement. I've been riding with a big group of influencers in Las Vegas and there was just a lot of excitement around our touring new touring bikes. I don't want to forget our first CVO ever outside of the touring category with our adventure touring bike, also a testament to our development on continuous focus and developing the adventure touring market. So overall, we feel good about it and also the pricing in our entry product, Nightster, that we've adjusted accordingly, great product, especially for new riders as well as an entry bike. So we should see some positive development that in overall in the year, but as I said, it's early days. We don't want to get overly excited here. '23 was a tough year and interest rates haven't changed and the outlook certainly doesn't suggest that that's going to happen in the prime riding season. So we'll have to balance our excitement for the new product with realities of the market.
Brandon Rollé: Thank you. And if I could just follow up on the manufacturing cost question, would you be able to break out the initial startup costs for the new touring production line versus just additional manufacturing costs throughout the year?
Jochen Zeitz: I think all we can say in the largest investment in a single platform that Harley-Davidson ever made.
Jonathan Root: Yep. And I think, Brandon, the good news is that you will hear more from us as we move through the year and talk about our financials and do our kind of year-over-year comp. So in in sort of our in our standard fashion, we'll make sure that we're continuing to provide breakouts that we're seeing, from a revenue perspective. We'll obviously walk through and talk through the P&L so that the promise that we do make is that throughout 2024, we certainly will be talking about this. And, you know, as you would imagine, 2024 is a little bit noisy when you look at some things quarter over quarter and some of the changes that we envision that we'll see in terms of things, shipping units into the dealer network and as you know, Jochen talked about throughout his prepared comments and I talked about through mine, obviously getting that match between retail and wholesale is something that we feel is very important. But, yeah, we'll be excited to talk about that with you throughout this year.
Operator: Thank you. To close out today, I'd like to hand the call back over to CEO, Jochen Zeitz for any closing comments.
Jochen Zeitz: Yes. Well, thank you, again to everyone for joining us today. Before we sign off, I just wanted to take the opportunity to thank Edel O’Sullivan for her many contributions to the company over the past three years and to wish her very well on her future endeavors. So thank you very much, Edel and thank you all for joining us this morning.
Operator: Thank you. And ladies and gentlemen, this does conclude today's conference call. Thanks for joining. You may now disconnect. Have a great day.